Operator: Good afternoon, ladies and gentlemen, and welcome to the AngloGold Ashanti Analyst Conference. All participants are now in listen-only mode, and there will be an opportunity for you to ask questions after today’s presentation. [Operator Instructions] Please also note that this conference is being recorded. I would now like to hand the conference over to Stewart Bailey. Please go ahead.
Stewart Bailey: Thanks very much, Dylan. And thank you, everybody, for your time today and for joining us for our Q1 results for the three months through March 31. A pretty full agenda today; as usual, we have Venkat starting off with the introductory remarks. He’ll pass over to Mike O’Hare to talk us through the South African operation. Ron Largent will talk us through the international portfolio, Graham Ehm through projects and exploration. And then Christine will talk us through the detail of the earnings and cash flow. And then Venkat will wrap up. As usual, we’re just going to read through the Safe Harbor statement. Certain statements contained in this document, other than statements of historical facts including, without limitation, those concerning the economic outlook for gold mining industry, expectations regarding gold prices, productions, cash costs, all-in sustaining costs, all-in costs, cost savings and other operating results, return on equity, productivity improvements, growth prospects and outlook of our operations, individually or in the aggregate, including the achievement of project milestones, commencement and completion of commercial operations of certain of our exploration and production projects and the completion of acquisitions and dispositions of joint venture transactions, AngloGold Ashanti’s liquidity and capital resources and capital expenditures and the outcome and consequence of any potential or pending litigation or regulatory proceedings or environmental health and safety issues are forward-looking statements regarding our operations, economic performance and financial condition. These forward-looking statements or forecasts involve known and unknown risks, uncertainties and other factors that may cause actual results, performance or achievements to differ materially from the anticipated results, performance or achievements expressed or implied in these forward-looking statements. Although we believe that the expectations reflected in such forward-looking statements and forecasts are reasonable, no assurance can be given that expectations will prove to have been correct. Accordingly, results could differ materially from those set out in the forward-looking statements as a result of, among other factors, changes in the economic, social, political, market conditions, the success of business and operating initiatives, changes in the regulatory environments and other government actions, including environmental approvals, fluctuations in gold prices and exchange rates, the outcome of pending or future litigation proceedings, and business operational risk management. For a discussion of these factors, refer to our annual report on Form 20-F with the SEC. These factors are not necessarily all of the important factors that could cause our actual results to differ materially from those expressed in any forward-looking statements. Other unknown and unpredictable factors could also have material adverse effects on future results. Consequently, readers are cautioned not to place undue reliance on forward-looking statements. We undertake no obligation to update publicly or release any revisions to these forward-looking statements to reflect events or circumstances after the date hereof or to reflect the occurrence of unanticipated events, except to the extent required by applicable law. All subsequent written or oral forward-looking statements attributable to the AngloGold Ashanti or any person acting on its behalf are qualified by these cautionary statements herein. Communication concerning certain non-GAAP financial measures, we use these measures in managing the business. Non-GAAP measures should not be viewed in addition to - or should be viewed in addition to, and not as an alternative for, the reported operating results or cash flow from operations or any other measures of performance prepared in accordance with IFRS. In addition, the presentation of these measures may not be comparable to similarly titled measures other companies may use. We post information important to investors on our website at anglogoldashanti.com. You should read those postings. Without further ado, I’ll hand over to Venkat.
Srinivasan Venkatakrishnan: Thank you, Stewart. It’s now close to 43 months since the gold price started to fall-back from its peak in September 2011. And in this challenging backdrop, ladies and gentlemen, I’m pleased to present another strong set of results from AngloGold Ashanti. Whilst these are good results, we still see scope for further improvements which is encouraging from our side. 24 months ago, when we developed our five simple building blocks of our strategy, to drive sustainable cash flow, improvements and returns, if I can recap what they are: the foundation being safety, people and sustainability; secondly, ensuring that we have financial flexibility to deliver on our objectives; thirdly, taking a close look at our cost across all of the metrics, to optimize the cost in a manner which enables us to generate further returns for our shareholders; improving the portfolio quality of our asset base; and finally, keeping our long-term optionality preserved as, at the end of the day, mining is indeed a long term game. Now turning to the key highlights, we delivered a strong performance at the group level, underpinned once again by a stellar performance from our international mines. And the international operations certainly knocked the ball out of the park this quarter. As we flagged previously, when we issued our Q1 2015 outlook back in February, South Africa’s performance was negatively impacted by safety stoppages and more of that later. Looking at some of the highlights, our overall performance clearly showed the benefit of the portfolio diversification. Production at 969,000 ounces exceeded guidance of 900,000 to 940,000 ounces. Total cash cost of $744 an ounce was down 3% year-on-year and it certainly was ahead of guidance. All-in sustaining cost of $926 an ounce was 7% down year-on-year and all-in cost at $1,026 an ounce was down 8%. Our adjusted headline earnings per share of $0.09 was ahead of market consensus. And as we have disclosed in our quarterly filings, the asset sale and JV processes are progressing well and we have received binding bids in respect of Cripple Creek and Victor, both in terms of sales and joint venture. And as Christine will cover in her presentation, we are maintaining our full-year cost and production guidance. Turning to safety, we unfortunately failed to improve on our fatality record of last year after recording two fatalities at Mponeng and one in Brazil. This comes after having recorded over seven months, consecutive months, without a single fatality last year, showing what is possible when we get our safety record right. However, there were some significant safety improvements during the quarter in achievements. They are, we recorded our lowest ever first-quarter all injury frequency rate and lost time injury frequency rate; and two mines within the Group, Siguiri and Iduapriem, completed the quarter with zero injuries. What has to be noted when you look at the slide, ladies and gentlemen, on the all injury frequency rate, is our improvement is even better than what is shown on the slide as there are significantly fewer people and contractors working in the business than in prior years, which means the denominator used to calculate this metric shrinks and we have to work even harder to keep the absolute rate coming down. Mponeng in particular and South Africa in general are core focus areas for us given the safety issues we have seen in the last six months. Mike will cover the mitigation steps we have taken to-date. And we will continue to take the appropriate steps in respect of this long-life asset. When you compare our Q1 performance to that of Q1 of last year, a couple of key highlights, gold price dropped by 6% or $73 an ounce. The group production normalized for Obuasi, which is now in limited operating state, and the sale of Navachab, was down 3%. And that was largely impacted by lower production from South Africa. Our international operations on a like-for- like basis improved production by 2%. All of our cost metrics at a group level improved by somewhere between 3% and 12%, depending on the metric you look at to partially offset the gold price impact. And Christine in her presentation will cover comparisons on EBITDA and on cash flow. So with those introductory comments, I hand you over to Mike to cover our South African operations.
Mike O’Hare: Thank you, Venkat. I’m on the regional overview slide for South Africa. And on that slide, you’ll see that our production was down around 18%. But strict cost controls moderated the effect on the all-in sustaining cost which only increased by 12%. The primary factor that affected production was the significant disruptions at Mponeng due to the two fatalities we had in Q1, which came after the two that we had in the previous quarter. Stoppages by the regulator were also unusually high in the Vaal River region as well. In the following slide I will go into a bit more detail around Mponeng. Work reorganization continued at the Vaal River, with significant cost reductions now coming into focus for the implementation teams. Work to reduce costs at Mine Waste Solutions bear fruit as they continue to move down the cost curve. We expect them to begin breaching the $1,000 per ounce all-in sustaining cost mark regularly. Work to improve the chemistry of uranium circuit continues, whilst the new pump station is now fully operational, which should improve mining volumes. If I move to the next slide which talks to Mponeng specifically, we have in our company said and demonstrated over a long period of time that safety is our first value. We’ve also demonstrated that we can run the world’s deepest mines with safety rates that are unrivalled. However, we’ve had four fatalities at Mponeng in a short period of time, which has set us back severely. In response the team benchmarked across the region to see whether there were areas we could improve or reduce the risk of having further fatalities. We identified that we could improve in the following three years. Improving the roof support by bringing the brack-phone [ph] closer to the face, increasing the density of our support units and drilling additional bolts into the roof. These changes have been fully implemented across the mine. In the high-grade western part of the mine we have encountered unusual ground conditions, which make our normal mining method difficult. In order to ameliorate this risk, we are changing the angle of blasting in these areas to an up-strip mining configuration, which from previous experiences should improve ground conditions. Lastly, all deep-level mines are exposed to seismicity. So we examined the mine planning to see whether there were areas where we could reduce risk and decided to reduce mining rates around a particular fault zone which has had a history of seismicity and fall-of-ground injuries at Mponeng mine. The effect of the fatalities and our reaction to them will have an adverse effect on production as we have seen during the quarter. We will, however, attempt to minimize this without compromising our first value. The project, Below 120 level, which is nearing completion, and the aim of this project is to bring two mining levels into production, achieved a number of important milestones recently. The chairlift was commissioned between 120 and 123 level, which now means that we have an efficient people transport system all the way to the bottom of this new mine. This will improve the productivity. We are opening our ore body on two different levels in order to access the new high-grade face length, as this is the purpose of the project. The team broke through the 300 meter per month barrier using rail-bound mechanized equipment during the quarter. And the next challenge is to replicate this on a 126 level. Work on the remaining infrastructure i.e., silos and dams, was affected by the safety disruptions elsewhere on the mine. And work by the team is ongoing to see whether it is possible to claw back schedule slippage. Moving to our technology updates on the next slide, we now have five machines doing reef boring on three different mines. During the quarter we completed 31 holes. And it’s important that we are now drilling on three of our four targeted reef types. Firstly, we’re drilling the high-grade medium-thickness shaft pillars. As discussed a number of years ago, we are now also drilling the low-grade reef to see whether we can upgrade them. And lastly, we have successfully drilled in the very steep reefs that we’ve had to leave behind due to the difficulty of mining at Moab Khotsong. Four new machines are under construction, and this means that we can almost double the drilling fleet, this should happen in Q2 and Q3. Work to improve the completion time per hole as well as moving towards continuous operations throughout the year continues. I would like to then hand over now, thank you very much, to Ron Largent.
Ron Largent: Thank you, Mike. I’ll discuss the quarter one 2015 operating results for Continental Africa, Australia and the Americas region. I will not discuss each individual asset as those results are contained within the quarterly report. Cost management continues to be a focus of the operating team. The primary areas for our work is focusing are around direct operating cost, stay-in-business capital and working capital. Additional work that has potential to impact mine site expenditures and cost structures is around detailed mine designs, mining method analysis and process optimization. If we look at Slide 14, it’s an overall view of the international operating group. The Group performed well on all production-related metrics during quarter one. Production totaled 730,000 ounces compared to 713,000 ounces in quarter one 2014, with an associated 12% reduction in all-in sustainable costs. This reduction in cost can be summarized into three general categories: one, the weakening of exchange rate and fuel pricing; secondly, optimization of mining method and design; and third, labor and consumable efficiencies and pricing. Now, looking at Continental Africa, Slide 15, production for quarter one was 351,000 ounces at a cash cost of $714 an ounce, compared to cash cost of $808 in quarter one 2014. Although, the production - ounce production reduced on the year-on-year comparison, this reduction was due to planned plant shutdowns at both Iduapriem and Siguiri, which both were completed on time and on budget. Geita mine produced 118,000 ounces at a cash cost of $579. This improvement can be attributed to higher grades from the Nyankanga ore body and cost reductions through efficiencies and planning as previously discussed. The Kibali mine, operated by Randgold, had a very good quarter one, producing 73,000 attributable ounces at cash cost of $630 per ounce. Slide 16, Americas region production for quarter one 2015 was 236,000 ounces at a cash cost of $665 per ounce, slightly less than quarter one 2014. The CC&V mill has been commissioned and is in the ramp-up stage. The current throughput is about 75% of nameplate tonnage. This ramp-up schedule is achieving the plan. Graham will give additional details later. Ounce production from Brazil increased 5% when compared to quarter one 2014 to 130,000 ounces, with a strong performance from the Cuiaba mine. Then Cerro Vanguardia mine in Argentina produced 65,000 ounces, which is a 12% improvement year-on-year comparison. The cost at Cerro Vanguardia improved slightly despite the inflationary pressures in that country. Slide 17, the Australian region. Production for quarter one was 143,000 ounces at a cash cost of $679 compared to 155,000 ounces at a cash cost of $779in quarter one 2014. At the Sunrise Dam operation, underground ore production increased by 22%, compared to quarter one 2014. This mine is schedule to mine 2.8 million ore tonnes in 2015, a 15% increase compared to 2014 production rate. This mine tonnage movement is critical for establishing the future mine plan and the capability of this asset. The Tropicana mine produced 86,000 ounces of attributable gold at a cash cost of $422 per ounce. This asset is producing at above design, throughput, and at cost assumptions. Slide 18. Now I’d like to briefly talk about a couple of the priority brownfield work streams that are fundamental in our planning process for improvements to releasing asset value. The first one is a life-of-mine extension at the Siguiri mine that includes a mill flow sheet modification to allow processing the hard rock reserve. This project is in the final stages of feasibility. Included in the project is a crusher installation and a grinding circuit addition and modifications. The second one is at the Geita mine in Tanzania. A shallow underground operation is in final stages of design and initial implementation is planned in late 2015. The Star and Comet pits remaining higher-grade resource will be extracted by underground mining methods. The planned outcome is to slightly improve the average feed grade to the mill. The third area or third point I would like to make, and that equals the schematic on the left- hand side is a decline from ore body 4 to the Inga deposit at the Serra Grande mine in Brazil. This decline is about 50% completed to-date. This decline will access a growing inferred resource of approximately 500,000 ounces at above-average grade. Again, this outcome will improve the mill feed at Serra Grande - mill feed grade. This work is the implementation of the longer-term plan that was the reasoning for the purchase of our JV’s interest a few years back. And the last one is at Sunrise Dam. The feasibility study has been executed that extends the mine life by elevated underground ore production from the lower ore bodies, primarily Vogue and GQ. If successful economically, ore transportation will be by conveyer systems instead of trucking from these deeper ore bodies. I guess to summarize the international assets, the work around cost management, consistent delivery of plans, the asset planning and scheduling and continued focus on business improvement has produced an outcome that we’ve seen the all-in sustaining cost move from around $1,200 in 2013 to around $1,000 in 2014, and have a quarter-one result of $851 now. Thanks. I’ll hand it over to Graham.
Graham Ehm: Thanks, Ron. This morning I’d like to cover Obuasi, Kibali, Cripple Creek, and exploration at Tropicana. So on Slide 20, having shutdown the main operation at the end of last year, we’ve just completed our first quarter of a one-year limited operating phase. Retreatment of the Diawuoso tailings and some remnant stockpiles has gone better than planned this quarter, producing about 18,000 ounces. Development of Obuasi Deeps Decline and grade control drilling in Blockade Lower are going quite well. We will complete the draft feasibility study as planned this quarter, but will continue to optimize this in the second-half of the year. In the second-half of the year, we will engage with key stakeholders and in particular the Ghana Minerals Commission and the EPA, in regard to the approach to Obuasi’s redevelopment to obtain the requisite approvals. We’ll also start work on detailed project execution and operational readiness planning. The next slide shows the approach that we will take to their redevelopment of Obuasi’s underground mine. The focus will be at the southern end of the mine. The ODD decline has reached the top of block 8 lower. The plan is that over time the decline will be aggressively deepened accessing blocks 9, 10 and 11. Three main mining methods will be used, transverse and longitudinal long-hole stoping in the wide and more consistent lodes, and underhand drift and fill in the narrower, more variable, but higher-grade zones. Mining rates will be 6,000 tonnes per day in the long-hole areas and 4,500 tonnes per day in the narrow areas. While the planned focus is on the reserves, there is considerable upside within the inferred resource and areas that have seen very little drilling over time. We will use as much of the existing infrastructure as possible, including the KRS shaft which will be refurbished to a 6,000 tonnes a day hosting capacity and conversion of the KMS shaft to a vent rise. Turning to Kibali on Slide 22. Kibali had a good production quarter and production is stabilizing at 600,000 ounces per annum. Costs are up slightly quarter on quarter with higher mining rates and lower production. Both the open pit and the underground mines are going well. Resource reconciliations were slightly positive in the open pit. Underground reconciliations are good in terms of grade and tonnage, with some spatial variations as expected. Work’s progressing on improving the plant runtime and stabilizing mill operations towards optimizing plant recovery. The Phase 2 capital program is progressing to plan. The paste fill plant has been dry commissioned and will come on stream next quarter. The second hydro power station at Ambarau will come on stream in the fourth quarter, adding 10 megawatts of hydro power. In regard to decline development, on the next slide, you can see the progress of decline development over the last couple of years through the twin decline system. Ramp-up of underground production is on plan. Three stopes have been mined so far, quite successfully and 138,000 tonnes mined in the quarter. Slide 24 illustrates the progress made on the shaft development. Shaft development this quarter was focused on lateral development to the crusher chamber and reaming of the 4-meter vent rise. When the vent rise is through to the crusher level this quarter, deepening of the shaft will resume, followed by shaft fit-out. It will take a couple of years before the shaft comes into production in 2018, we’ll see a kick in production from the 600,000-ounce level up to 700,000 to 800,000 ounces per annum due to the higher grade coming from the underground ore body. Slide 25 illustrates the brownfield exploration potential within Kibali. There is a 20- kilometer-long strike length along the KZ zone. And there’s significant potential for million-ounce additions to the already substantial Kibali resource. Mining has progressed so far at one of the small pits at Mofu late last year and is currently in progress at Mengu Hill. The team is ground-truthing the area to test the structural models to identify and prioritize drill targets. This will be a feature of future reporting throughout the year. In regard to Cripple Creek on Slide 26, the MLE2 project will extend the life of Cripple Creek from 2016 to 2025. Average gold production with completion of the project increases from around 350,000 to 80,000 ounces a year to 370,000 ounces a year. The MLE projects add the 2 million tonne per annum mill to treat higher-grade moderately refractory ore and a valley leach facility in Squaw Gulch. Average operating costs are expected to reduce to around $800 to $850 per ounce. Capital costs are on track and are expected to come in within budget, at $595 million, of which $366 million has been spent to-date. Commissioning on the mill has been completed in the first quarter and the mill has been handed over to operations. First gold was poured in the quarter and a ramp-up to full production is in progress. Construction of the absorption desorption and recovery plant commenced in April and is expected to be commissioned during quarter four 2016. The valley leach facility construction is proceeding on schedule. Turning to exploration at Tropicana on Slide 27. In addition to the Brownfield’s exploration on the mine lease, we’ve been working regionally over the last few years. There is a lot of anomalism in the area and this quarter we are seeing success at Madras, about 25 kilometers south of Tropicana. The regional geological work has built up a detailed picture of the regional geology and has focused the work on the favorable areas, including the Tropicana/Madras/Tumbleweed domain and the Sanpan domain. On the next slide, the results from this quarter at Madras are quite significant, including 16 meters at 5 grams, 17 meters at 4.2 grams, 25 meters at 2.5 grams. While there is still a lot of work to be done, Madras is emerging as a mineralized area over a strike length of approximately 4 kilometers. And being only 25 kilometers south of Tropicana could feature quite materially in Tropicana’s mining plans going into the future. Thanks. And with that I’ll pass to Christine.
Christine Ramon: Thank you, Graham, and good day, everyone. As you can see from another strong set of results, our first quarter’s performance reflects sustained operational delivery, again beating market consensus views. These numbers reflect the strength of our portfolio and clearly differentiate AngloGold Ashanti from the majority of our peer group. As you’ll all be aware, the global macroeconomic environment remains volatile, with obvious downside risk. Hence, our continued focus on strengthening the balance sheet in the medium-term in order to improve free cash flow generation and create a buffer for volatility. I’ll now talk to the detail of our first quarter performance concluding on the second quarter and the full-year outlook. Moving to Slide 29. As we heard from Venkat, we’ve delivered ahead of guidance on our overall production and cost targets despite the safety stoppages that affected our South African operations. Notwithstanding a 6% weaker gold price and 8% lower production, we also delivered a strong cost performance, underpinned by a 7% reduction in all-in sustaining costs. The $67-per-ounce reduction in all-in sustaining cost was well supported by our cost optimization initiatives, whilst we saw significant benefit from weaker currencies and lower oil prices. We remain sensitive to the oil price and currency and confirm our sensitivities at budgeted oil and exchange rate assumptions, which we issue with caution. Just to recap, every $10-per-barrel change in the average Brent crude oil price will impact our cash costs by approximately $7 per ounce, while a 1% weakening in our currency basket will positively impact cash cost by approximately $6 per ounce. Adjusted EBITDA was solid at $409 million for the first quarter, despite lower gold price and lower ounces sold. Free cash flow before financing cost was $20 million compared to $87 million last year. The big swing in free cash flow from last year was due to the negative impact of the $73 per ounce lower gold price, as well as working capital movements and equity investments due to the lag in the timing of dividends received. In addition, there was a non-recurring tax refund of $37 million last year, mainly relating to Australia, which would distort the year-on-year comparison. Increased taxes in the income statement relate to the weakening currency translation effects on deferred tax in South America. Net debt levels increased marginally to $3.15 billion. Moving on to Slide 30, all-in sustaining costs shows a steady improvement over the past four quarters. I will focus to increase cash margins for this period has been relentless, even in a depressed gold price environment. And that focus will continue. We have pulled over $1,100 per ounce from all-in costs from the quarterly peak, and we’ve also reduced approximately $625 per ounce from our all-in sustaining costs, again, from the highest levels to where we were now. The extent of this reduction relative to where we were and our ability to absorb pressures and sustain this over eight quarters stands out in our peer group. Slide 31. Despite overall production level due to Obuasi’s transition to limit its operation phase and the disposal of Navachab, as well as the safety-related stoppages in South Africa, we were able to reduce all-in sustaining costs per ounce by $67 per ounce in quarter one. The reduction in all-in sustaining costs relates both to controllable and uncontrollable factors. They comprise efficiency improvement of $23 per ounce, oil and currency dealers together amounting to $81 per ounce, as well as lower royalties on the back of the lower gold price up about $16 per ounce. These benefits were offset in part by inflation. Sustaining capital is down by approximately $24 per ounce. And that mainly relates to Obuasi now in limited operations, lower Geita deferred stripping that Ron spoke to, the completion of the MWS project, and some currency benefits. We are expecting some catch-up in sustaining CapEx in the coming quarters that follow due to timing of expenditures. However, depending on the currency assumptions, some of the benefits we’ve spoken to will be banked as permanent savings given that there are fundamental reductions in our CapEx. Our full-year guidance on capital expenditure remains intact. It’s still early in the year, being in the first quarter, and there are three more quarters to go. Our net-debt-to-EBITDA ratio, moving to Slide 32, compared favorably to our peers. We have sufficient facilities and headroom in our balance sheet to fund our ongoing operational requirements, both before and after reasonable downside sensitivities relating to production disruptions. In order to contextualize the potential impact of the production disruption in the South African region, bear in mind that at least 72% of our EBITDA, based on the actual of 2014, is currently generated by our international operations. And as we’ve seen clearly in the first quarter, the geographic diversification of our portfolio enhances our resilience to production interruptions. Our net debt level is largely unchanged from last year, despite the lower gold price and ounces sold, demonstrating our flexibility and resilience in a difficult market. Our net-debt-to-EBITDA ratio also remained well below our covenant level at 1.97 times, and we’ve already banked the EBITDA required for the June 2015 testing period, while getting a very strong start on the December 2015 testing period with the first quarter EBITDA at $209 million. As we’ve said previously, our medium-term leverage target is 1.5 times net debt to EBITDA. We are making good progress on our deleveraging strategy, as Venkat spoke to, which would position us strongly by freeing up cash flows, providing a reasonable buffer for volatility and creating a platform to deliver returns to shareholders, while pursuing opportunities to improve our value propositions. Slide 33, our debt has long-dated maturities, with the spread of types of facilities and currencies enhancing flexibility and currency matching. The RCF facilities incorporate a looser covenant, with net debt to EBITDA now set at 3.5 times, with a one-period waiver up to 4.5 times subject to certain conditions. Apart from the ZAR750 million bond redemption, and that is a $61 million equivalent, in December 2016. The earliest international bond maturity date is in April 2020, allowing us sufficient time to plan for the redemption. The high-yield bond issuer’s call can only be exercised from July 2016 onwards at our discretion, thus allowing us sufficient time to fully explore our self-help measures before we decide how to proceed with this opportunity. Remember, we have full discretion in determining both whether and how to exercise this option. Our credit ratings remain unchanged at BAA3 rating with a negative outlook by Moody’s, and BB+ with a negative outlook by S&P. Lastly on Slide 34, my final slide talks to our outlook for quarter two and the full-year guidance for 2015. Our quarter two guidance on production being 960,000 - so that’s 960,000 ounces to 1 million ounces, and the consequential flow-through on cash costs amounting to $770 per ounce to $820 per ounce range, takes into account the improved production in the South African region given the recent safety stoppages in quarter one and the ramp up in the MLE2 production at CC&V. The higher cash cost takes into account the winter power tariffs in South Africa, timing of expenditure and higher commodity price assumption. Our annual production guidance of 4 million to 4.3 million ounces for 2015, cash cost of $770 to $820 per ounce and all-in sustaining cost at $1,000 to $1,050 per ounce remains unchanged. We have made no provisions for power-related stoppages in South Africa, any unforeseen operational disruption or changes to the portfolio. The capital guidance remains unchanged at $1 billion to $1.1 billion - so let me repeat that, capital guidance $1 billion to $1.1 billion of which just over 70% relates to sustaining capital. On that positive note, I will now hand back to Venkat to conclude. Thank you.
Srinivasan Venkatakrishnan: Thank you, Christine. In wrapping up, if I can cover three broad areas. First around consistency, second around our performance against our strategic scorecard, and finally our investment case. As the slide before you will show, we built a good track record of consistency and delivery on our quarterly guidance. We’ve either met or beaten every production and cost target which we have set during the last two years and more. We are into our ninth consecutive quarter of consistent delivery despite a number of headwinds that are common in a company such as ours operating in gold mining. However, as I reiterate every quarter, mining is a long-term game and there’s always a chance that we might miss a quarter or two here and there. But so far we have banked all of the quarters to date and the trajectory looks positive. Turning to our progress against our scorecard, starting with the foundation around people, safety and sustainability, good progress in respect of people and sustainability front as we have shown in terms of what has been achieved in Ghana and in South Africa, for example. On safety, we have achieved our lowest ever all injury frequency rate. And it’s a good leading indicator, but work in progress to getting it to zero harm. On balance sheet, we’ve managed to keep our debt level steady despite the drop in the gold price. And obviously work is underway in this area. On cost, as Christine articulated, we have been relentless in terms of our cost optimization strategy. And that has actually held us in good stead and we have been certainly assisted this quarter by weaker currency and oil prices. On the portfolio, progress is going well on the Sadiola and Yatela sale discussions with our joint venture partner. Progress is also underway, as Graham articulated, on the Obuasi feasibility study. And work is underway at Siguiri, Geita, Serra Grande and Sunrise Dam to improve long-term optionality, as Ron articulated in his presentation. Turning to long-term optionality, we are very encouraged by good grade intersections that we see in Tropicana. It’s in the early stage of discovery, but it is encouraging. The reef boring project which had a couple of issues in the previous quarter actually worked well in the first quarter of this year. And Kibali continues to surprise all of us on the upside. Turning to the investment case, our investment case is strong, with a number of value catalysts that will open up during the next two years. We have a high quality of long-life gold assets, with very good leverage to both currencies and energy. We are prioritizing margins over production growth. And our focus on cost and capital is relentless. We have demonstrated over the last two-and-a-half years our decisive and strategic response to a lower gold price environment on virtually all fronts, whether it’s production, cost, capital or overheads. We do have good balance sheet liquidity and flexibility. And we are demonstrating proactive balance sheet management in prioritizing self-help measures to deleverage. And we have a well-developed engagement model that ensures strong stakeholder relationships and preserving of our licenses to operate. To conclude, I remain optimistic about what AngloGold Ashanti has to offer in the future. Before we open up for questions, just a few comments. As you all know, Mike O’Hare announced his intention to retire early. And Mike actually hands over the baton to Chris Sheppard on June 1. And there is an organized handover period during the second and the third quarter. Mike has been with AngloGold Ashanti for over three decades. There were a number of highlights during his career, safety being the notable one. We have also seen Mike evacuate 3,500 employees impacted as a result of an earthquake which hit us in the Vaal River district last year. He has shown leadership in achieving transformation within his executive team and getting the sustainability effort in South Africa to a step change. But importantly, he’s changed the paradigm shift in terms of what would otherwise be a declining industry in South Africa, using reef boring technology to turn the tide around. He’s been a very good colleague to us. He’s supported the ExCom team well and certainly assisted us during the transition. We thank him and his family for all the efforts and support which he’s provided during the period and wish him well in his future endeavors. And we are looking forward to Chris, who joins us, and he will be presenting our next quarterly results. So I hand you over to Stewart Bailey.
Stewart Bailey: Dylan, ready to take questions on this side.
Operator: Thank you very much, Stewart. [Operator Instructions] Our first question comes from Kane Slutzkin of UBS. Please go ahead.
Kane Slutzkin: Hi there, gents [ph]. Mike, if I could just maybe ask you a question just on the technology. I mean, obviously with you leaving now and you’ve been a quite a key sort of figure with that, are you still - are we sort of confident there’s a good succession plan in terms of that technology? And then secondly, just on - maybe this is for Venkat. On the sale or JV of CC&V, given this is obviously a mine that’s growing production over the next couple of years, is it a fair assumption that you would ideally like to go the JV route because you want to keep some of that optionality, or is it a case of more money in the bank the better.
Srinivasan Venkatakrishnan: Mike, do you want to go first?
Mike O’Hare: Yes. I’ll go first. Thanks, Kane. I get what you’re asking. Often people leave and a project sort of slightly dies. I don’t think that’s going to happen to the technology work we’ve done here. And the reason what I’m confident on that is the way we’re mining the particular cap-turner [ph] high-grade pillar with reef boring, it is the only way to get to that reef safely, there is no other way. And given the grade we have in there, it’s certainly a high-value proposition. So the nucleus of the project there will definitely continue. I think it’s up to the team, and we have a fairly significant team on the ground now, to demonstrate that they can drill the holes in the time period per hole that we’ve given them. And there’s no reason why they shouldn’t do that because 25% of the machines are currently there. Then the next step would be to ensure we can do this every day of the year. And that really depends on negotiations with the government and the unions. And there’s nothing in either of those negotiations so far that show us that that can’t be done. So I’m confident that the team’s in place. I know Chris well and this is one of Chris’s passions. So if it deserves to succeed, it will.
Srinivasan Venkatakrishnan: Yes. Thanks, Mike. And certainly if I can reaffirm, in terms of succession, in terms of reef boring technology, absolutely aligned. The team is still in place, and based on all of our discussions with Chris Sheppard, certainly he’s excited about what this can actually achieve in terms of South African production going forward. In terms of your second question on CC&V, Kane, as I said, we’re keeping all options open and we’re going to be driven by value considerations. There’s nothing more I can say at this stage.
Kane Slutzkin: All right. Thanks, guys. All the best, Mike.
Mike O’Hare: Thanks, Kane.
Operator: [Operator Instructions] Our next question comes from Andrew Byrne of Barclays. Please go ahead.
Andrew Byrne: Hi. Good afternoon, guys. Just more an opportunity for you really just to give us a bit more color on 2Q. Obviously your cost guidance is for increases. We’ve had a great performance from the international portfolio in 1Q. Could you just talk if there’s any particular items that we should really bear in mind when modeling 2Q?
Srinivasan Venkatakrishnan: I’ll pick it up, if you want, Andrew, first, and then my colleagues can come in. Really in terms of modeling, South Africa had quite a bad quarter in Q1. So we are anticipating a steady ramp up which actually comes through into Q2. It’s not get - it doesn’t get to the level we want, notably at Mponeng. But we’re expecting the impact of the safety stoppages to be lower. So certainly better than Q1, but not where we want it to be. That’s in terms of South Africa to bear in mind. On the cost side, you’ve also got to bear in mind that the winter power tariff kicks in. And there are more months of winter power tariff that actually kicks in Q2 than Q3. So that’s also been factored in. And I’m not sure if Ron or Graham or Mike want to cover any specific operations where there are movements at this stage. But typically, Andrew, we don’t guide quarterly individual mine-by-mine performance. It’s generally taken care of in our outlook. Dylan?
Operator: Ladies and gentlemen, we have no further questions. Stewart, do you have any closing comments?
Stewart Bailey: No, nothing further from me. I think thanks to all of you, for making the time. And we look forward to hosting you again in three months. Thank you.